Operator: Good day, and welcome to Bilibili Fourth Quarter and Fiscal Year 2025 Financial Results and Business Update Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Juliet Yang, Executive Director of Investor Relations. Please go ahead.
Juliet Yang: Thank you, operator. During this call, we'll discuss our business outlook and make forward-looking statements. These comments are based on our predictions and expectations as of today. Actual events or results could differ materially from those mentioned in today's news release and in this discussion due to a number of risks and uncertainties including those mentioned in our most recent filing with SEC and Hong Kong Stock Exchange. The non-GAAP financial measure we provide are for comparison purpose only. The definition of this measure and the reconciliation table are available in the news release we issued earlier today. As a reminder, this conference is being recorded. In addition, an investor presentation and a webcast replay of this conference call will be available on the Bilibili IR website at ir.bilibili.com. Joining us today from Bilibili senior management are Mr. Rui Chen, Chairman of the Board and Chief Executive Officer; Ms. Carly Li, Vice Chairwoman of the Board and Chief Operating Officer; and Mr. Sam Fan, Chief Financial Officer. I will now turn the call to Mr. Chen.
Rui Chen: Thank you, Juliet, and thank you to everyone for joining us today. 2025 was a marquee year for Bilibili. We delivered standout results across both our community growth and financial performance. Throughout the year, our user growth regained its momentum while engagement and stickiness consistently hit new record highs. We also made incredible strides on the commercial front and achieved our first ever full year of GAAP profitability. Looking at our community, momentum really picked up speed toward year-end. DAU growth accelerated every single quarter year-over-year, up 4% in Q1, 7% in Q2, 9% in Q3 and 10% in Q4, hitting 113 million users. Q4 MAUs also grew by 8% year-over-year to 366 million. While much of the Internet is still flooded with fast food content, more and more people are gravitating toward depth and quality. They're spending more time on high-quality PUGV content and the authentic community interactions that Bilibili is known for. In Q4, average daily time spend continued to rise, up 8% to 107 minutes. This strong momentum reinforces our conviction that users are elevating their content consumption, and we believe the shift gives us a massive long-term runway ahead. As our users dive deeper into the content they love, their willingness to spend continues to rise. This is reflected in our MPUs, which surged 21% year-over-year to a record 36 million. Users growing spending power is also extending beyond direct payments. Bilibili has become a trusted destination for consumption decisions where users don't just watch but actively research and embrace new products. AI is a prime example. A growing number of AI advertisers now view Bilibili as the go-to platform to reach curious young minds. By leveraging our interactive community, they can turn exposure into real user conversion and lasting influence. These strengths combined with our refined ad infrastructure, drove a 27% year-over-year increase in advertising revenue in Q4, once again exceeding expectations. The power of our community and commercialization engine and its potential is also showing up in our financial results. 2025 marked a major milestone as we reached our first full year of GAAP profitability alongside solid revenue growth. For the year, total revenues grew to RMB 30.3 billion, up 13% year-over-year and we reported a GAAP net profit of RMB 1.2 billion. In Q4, total revenues increased by 8% year-over-year to RMB 8.3 billion, gross profit grew 11% and gross profit margin rose to 37.0%, marking our 14th consecutive quarter of margin expansion. With disciplined cost management and stronger operating leverage, our adjusted net profit nearly doubled to RMB 878 million, and our adjusted net profit margin expanded to 10.6%. By the start of 2026, the average age of our users reached 26.5. They are moving into higher income brackets with greater spending power and more diverse needs. As they move into new stages of life, we are growing with them, expanding our commercial opportunities and unlocking more value across every touch point in our ecosystem. To better serve our evolving community, we are integrating AI into every corner of Bilibili. To us, AI isn't just a buzzword. It's a practical tool that expands human creativity, increases connection and boosts distribution efficiency. By leveraging from tier LLMs, we've made our content discovery and ad targeting sharper than ever. We are also providing AIGC tools that help creators and advertisers get started more easily while AI translation is helping our best content to reach a global audience. The more we invest in these capabilities the more confident we are that AI will take our ecosystem and our business to the next level. With that, let me walk you through our core pillars of content, community and commercialization. Starting with content and community. The biggest takeaway from our 2025 story is that, in a world full of short and disposable content, demand for high-quality content and authentic community connection is only getting stronger. We've leaned into this trend by deliberately allocating more resources to promoting high-quality content and fostering welcoming interest-driven communities. The results are clear. In Q4, average daily time spent reached 107 minutes, up 8% year-over-year, while watch time for videos longer than 5 minutes grew by more than 20%. Our commitment to quality content across categories is driving higher user engagement and time spent. In Q4, watch time of lifestyle content grew by more than 30%, while Chinese anime and game-related content increased by 56% and 24% year-over-year, respectively. Notably, in July 2025, we officially launched video podcast initiative and quickly established an early lead in this impactful format. Our highly engaged community played a key role in driving its rapid adoption, sparking more meaningful discussions among users. In the second half of 2025, total watch time for video podcast exceeded 8 billion minutes. In 2025, AI became a powerful amplifier of our content ecosystem, driving engagement, unlocking creativity and accelerating the discovery of high-quality content. Total watch time for AI-related topics surged 53% year-over-year in Q4, cementing Bilibili's position as the go-to platform for AI learning. Beyond consumption, AI is streamlining the creative process and even reshaping how content is made. A great example is AI music. Creators are now turning simple ideas into professional great music videos with ease. In the fourth quarter, the number of AI music videos reaching the million view milestone, grew over fivefold year-over-year. At the same time, AI-driven distribution helps high-quality work find its audience much faster. This is especially beneficial for emerging creators. In Q4, the number of creators with over 1,000 followers increased by more than 30% year-over-year. As creators build larger audiences and stronger connections, that engagement is increasingly turning into monetization on Bilibili. In 2025, nearly 3 million creators earned income on our platform across advertising in VAS channels. And with improved commercialization efficiency, average income per creator grew 21% year-over-year. Just as importantly, users are demonstrating more and more willingness to pay for content they genuinely enjoy and creators they truly value. Last year, more than 10 million users supported high-quality PUGV content and creators through fan charging. Turning to our core community metrics. In Q4, each active user followed over 90 creators on average, up from 81 a year ago, reflecting strengthening network effects within our community. By the end of 2025, we had over 284 million official members and their 12-month retention rate remained stable at around 80%. Our creator ecosystem also balances longevity with fresh energy. This is evident in the 2025 up 100 list, where creators have been active on Bilibili for 7 years on average, while nearly 40% were first-time honorees compared with the last year. Beyond daily activity, Bilibili continues to reinforce its role as a cultural home for young generation. Our Signature New Year's Eve Gala delivered its best commercial performance to date and has grown into an annual ritual for young audiences. During the recent Chinese New Year, we once again partnered with CCTV as the exclusive bullet chat platform, enabling young viewers to celebrate the festival together online. On the day of the broadcast, more than 133 million bullet chats were shared and DAUs reached a record high, up 16% compared with last year. Now let's talk about our commercial businesses and their progress. First, we were very encouraged to see our advertising business deliver better-than-expected results in Q4. Advertising revenues accelerated to RMB 3.0 billion, up 27% year-over-year and full year advertising revenues increased by 23% to RMB 10.1 billion. This industry-leading growth reflects both the rising value of our user base and our continued progress in improving ad efficiency. As users spend more on the platform, Bilibili is becoming an even more compelling destination for advertisers. In Q4, the top 5 ad verticals were games, digital products and home appliances, Internet services, e-commerce and automotive. Home decoration was a standout with ad spend jumping over 80% year-over-year, another strong signal that our users are maturing and seeking more lifestyle-focused upgrades. AI advertisers also ramped up with AI-related ad budgets climbing nearly 180% year-over-year in Q4, and that momentum has carried into 2026. In 2025, we pushed AI even deeper into our commercial algorithms, boosting traffic value without compromising the user experience. The precision paid off. Ad spend aimed at deeper conversions grew by more than 40% year-over-year and negative user feedback was cut by over 50%. We also made the performance advertising faster and easier. Our smart ad delivery system and AI-powered creative tools, now streamlined campaign setups lifting cold start success rates by nearly 300% from last year. On top of these efficiency gains, we broadened our ad inventory across the ecosystem, new openings in search. PC and OTT drove ad revenue in these scenarios, up by over 60% year-over-year. This rapid growth shows untapped potential we have across our multiscreen multi-scenario ecosystem and we still have plenty of runway to expand further. Looking ahead to 2026, we are confident in the outlook for our advertising business. That confidence comes from rising user value and plenty of room to drive more efficiency, especially as we continue applying AI to strengthen monetization capabilities. At the same time, demand from gaming and AI advertisers remain strong, with both sectors eager to reach Bilibili's young high-value user base with stronger tools and the supportive market backdrop, we are set to capture even more of the opportunities ahead. Turning to our game business. Game revenues were down 14% year-over-year to RMB 1.5 billion in Q4, reflecting the high base set by San Mou, San Gou: Mou Ding Tian Xia, in the same period of last year. Even so full year game revenues still grew 14% to RMB 6.4 billion. In Q4, Season 11 of San Mou held steady, and we're focused on extending the title's life cycle by elevating the user experience and maintaining balanced monetization. On the global front, we launched the traditional Chinese version in January and plan to roll out the game across more Asian markets later this year. Meanwhile, our Evergreen titles, FGO and Azur Lane, remain stable and continue to generate reliable revenues. Our biggest surprise of 2025 was Escape from Duckov [Foreign Language]. This self-developed title was a real dark course. It sold over 3 million copies in the first 3 weeks of its October debut and went on to become the best-selling domestic single-player game of the year and now ranks among the top 3 of all time. This success is a clear example of how we spot unmet demand and turn it into breakout hits. As AI continues to reshape the digital landscape, strong IP is becoming even more valuable. It can migrate across platforms and spawn new experiences. That is why Duckov is now moving to consoles and mobile, widening its reach and deepening its growth runway. Looking ahead, our pipeline is strong, including our exclusive casual card game NCard, San Gou [Foreign Language] and our self-developed simulation game, Lumi Master [Foreign Language]. Our pipeline of jointly operated games for 2026 is also shaping up well, giving us a broad and diversified slate. Our strategy is straightforward, build and scale high quality genre-defining games that have lasting appeal for the gamers of tomorrow. As for our VAS business, users are showing a stronger willingness to pay directly for the content and services they care about. That demand drove revenues up 6% year-over-year to RMB 3.3 billion in 4Q and up 8% to RMB 11.9 billion for the full year. In 2025, our live broadcasting business maintained steady growth and gross margin continued to expand. Premium memberships reached 25.3 million by year-end, up 12% year-over-year supported by a strong performance from our Chinese anime slate led by our hit production, Mortal's Journey to Immortality, [Foreign Language], annual subscriptions and auto renewals remained around 80%, highlighting the loyalty and long-term commitment of our core community. Other VAS products delivered strong momentum in 2025. Revenues from our fan charging program was particularly strong, doubling for the full year with more than 10 million users directly supporting creators and high-quality content throughout the year. In closing, our progress this year underscores the strength of our content and community. Our flywheel is working. High-quality PUGV attracts and retains young users. Deeper engagement creates more value for creators and that energy is translating to a healthier and more sustainable commercialization. AI is also reshaping our industry, and we see it as a powerful accelerator of this cycle. We will continue investing in AI to reinforce our position as the platform of choice for China's most engaged young audience. With profitability achieved and momentum building, we will stay focused on what defines Bilibili, great content, a strong community and disciplined execution that creates lasting value. With that, I will turn the call over to Sam to share more financial details. Sam, please go ahead.
Xin Fan: Thank you, Mr. Chen. Hello, everyone. This is Sam. In the interest of time on today's call, I will review our fourth quarter highlights. As Mr. Chen's remarks have already covered our full year results at a high level. We encourage you to refer to our press release issued earlier today for a closer look at our full year results. In the fourth quarter, we continued to deliver solid top line growth while expanding margins and strengthening our profitability profile with gross margin improving for the 14th consecutive quarter and operating leverage continuing to build across the business. We entered 2026 with much greater financial resilience to build on. Total revenues for the fourth quarter were RMB 8.3 billion, up 8% year-over-year. Our total revenues breakdown by revenue stream was approximately 39% VAS, 37% advertising, 18% mobile games and 6% from our IP derivatives and other businesses. Our cost of revenues increased by 6% year-over-year to RMB 5.2 billion in the fourth quarter while our gross profit rose 11% year-over-year to RMB 3.1 billion, our gross profit margin reached 37.0% in Q4, up from 36.1% in the same period last year, showing the strength of our business model as we continue to scale. Our total operating expenses were down 3% year-over-year to RMB 2.6 billion in the fourth quarter. Sales and marketing expenses decreased by 9% year-over-year to RMB 1.1 billion, mainly due to decreased marketing expenses for our games. G&A expenses increased 4% to RMB 528 million, and R&D expenses were flat at RMB 921 million. Our operating profit was RMB 504 million, up 299% year-over-year. Our adjusted operating profit was RMB 838 million and our adjusted operating profit margin reached 10.1%, improving from 6.0% in the same period a year ago. Net profit was RMB 514 million versus RMB 89 million in Q4 2024. Our adjusted net profit was RMB 878 million, and our adjusted net profit margin expanded to 10.6% from 5.8% in the same period last year. Cash flow-wise, we generated about RMB 1.8 billion in operating cash flow in the fourth quarter and RMB 7.1 billion for the full year. As of the 31st of December 2025, we had cash and cash equivalents, time deposits and short-term investments of RMB 24.2 billion or USD 3.5 billion. Under our USD 200 million share repurchase program approved by the Board in November 2024, we had repurchased a total of 0.6 million shares in Q4 for a total cost of USD 14.7 million. As of the 31st of December 2025, we have repurchased a total of 7.0 million shares at a total cost of USD 131.2 million, leaving about USD 68.8 million available for future buybacks. Thank you for your attention. We would now like to open the call to your questions. Operator, please go ahead.
Operator: [Operator Instructions] And now we'll take our first question from the line of Lincoln Kong of Goldman Sachs.
Lincoln Kong: [Foreign Language] And congrats on the very strong finish. My question is about the community. In 2025, we have seen accelerating growth of our user and time spent. Do the management elaborate [indiscernible] and how should we think about the future user and time spent growth potential? And when we're thinking about -- among all the competition, how would Bilibili to maintain our creators and users? What's our strategies behind it?
Rui Chen: [Interpreted] The core driver behind Bilibili growth is the continued increase in supply those high-quality content on our platform. I've mentioned this before, in the content industry, the end game of competition is about quality. That's to say, platform come -- that can consistently deliver great content will be the ultimate winner. This is especially true today where there is a clear oversupply of industrialized fast full content. In this environment, true high-quality content become even more precious and more powerful in shaping users' mind share. The reason why Bilibili has the ability to unlock the supply of high-quality content is because we have both the soil and the seeds to grow the high-quality content. First, our community is that very fertile soil. Bilibili has a large base of user who knows how to appreciate, recognize and spread great content. They are the group of people who have the ability to identify high-quality content at their early stage and spread it across our community. And that group of user not just watch content, they actively provide feedback that defines a good content. And our content creator relies on their input, their feedback to create even better content. That's why content creators on Bilibili can create content not only for Bilibili's user to appreciate, come to the whole society, those are still the top quality content. Well, this type of community is essentially important to content creator. You might argue that for a very top content creator, their experience across multiple platforms may be similar. But for the much larger group of middle or emerging creators, they really truly relies on the community's feedback, telling them what is a good content. What direction they should be aiming for. And this is very, very important for creator community. That's why you've seen that on Bilibili, there's continuous supply of new content creators that has grown and thrive on our platform. Every year when we publish our top hundred top content creators, about 1/3 of the content creator are the newly emerged content creator that was never nominated before. That is the power of our community. Soil -- the fertile soil that can cultivate and grow a very large number of new talented content creators. And what we have done in the past is staying focused for the past 17 years cultivating and building this kind of community and this relies on every single real users contribution and feedback. And this is very -- we need patience, we need time to build this very tight community and this is our biggest moat of this defensive mechanism of having this community [indiscernible] in our business. And when it comes to industrialized pure traffic-driven model, it's very hard for this type of model to build a community. And the creator are the seeds on the soil. At its core, we believe the high-quality content is the result of creators uniqueness. They're one of a kind soul combined with their strong production capabilities is because we have this unique creators and they entrust our platform, and they entrust us to witness their growth and unleash their creativity. That's why we have a very unique ecosystem. We are very confident about our future user growth. As we mentioned in the past, we've witnessed that there was a clear content consumption upgrade trend that is happening and this type of consumption upgrade is just a one way straight. Once people start to experience truly great content, it's very hard for them to go back. And we've seen that oversupply of short content as people start to consume more and more content, and it's just very natural for them to start to appreciate this high-quality content that Bilibili has to offer. We also have that user mind share. So we are seeing that our high-quality content is attracting more and more users onto our platform. And then on top of that, our average age of our user ages come to 26 and 27, as they move into their next stage of life, their content will continue -- content consumption will continue to evolve, and their purchasing power will grow as well. For us, that represents a long-term structural opportunity for growth. When it comes to competition, we'll focus on 2 things. First, we'll stay very clear about our positioning around high-quality content and make sure the platform continues to be the place for deeper expression and interest-based high-quality content community. And secondly is that we'll be focusing on our creators, make sure this is a platform for their long-term creation as well as improved monetization potentials. In terms of their creation period, we are quite happy with the results what we have seen now. We have a large number of content creator who's been creating content on our platform for 5 to 10 years, and they continue to gain followers in creating lasting values on the platform. On the monetization-wise, we continue to cultivate more avenues for content creator to make more money and in the last year in 2025, there are about 3 million of content creator received income on our platform, and their average income also grew by 21% year-over-year. And on top of that, the number of content creators with 10,000 follower, 100,000 followers, 1 million followers, they all grew over 20% year-over-year. And those 2 factors combined will position us very well in this competitive landscape and continue to thrive.
Operator: We will now take our next question from Xueqing Zhang from CICC.
Xueqing Zhang: [Foreign Language] And congratulations on the strong advertising growth in the first quarter. My question is also about advertising. Could the management share which industries and products were the main drivers behind the strong performance in Q4? We have also noticed that many AI applications have been ramping up their marketing spending recently. How does management see this trend benefiting your advertising business. And could management also provide some color on the advertising growth outlook for the first quarter and the full year of 2026?
Unknown Executive: [Interpreted] The performance of our advertising business in fourth quarter and for the full year 2025 was in line with our internal expectations. Growth actually accelerated quarter-by-quarter throughout the year from 20% year-on-year growth in the first quarter to 27% year-on-year growth in the fourth quarter. And we continue to gain larger share of overall ad budgets. The results reflect both rising value of our user base as well as the continuous improvement in our monetization efficiency. Look at the drivers behind our stronger than market expectation performance in Q4. First, we credit that to the on-top ad inventory. Within our multiscreen and multi-consumption products, we continue to release more ad inventories on top of the feed scenarios. Areas such as search, PC and OTT, they all grew more than 60% year-over-year. And for some certain scenarios, they even grow over 200% year-over-year in terms of ad consumption. Secondly is that we continue to improve our ad efficiency. This was mainly driven by the integration of AIGC tool with ad creative campaign, deeper conversion penetration and our AI-backed smart delivery ad delivery system. And all combined together is helping us to improve the overall ad efficiency and recommendation efficiency. Thirdly, looking at the industry contribution in addition to our strong verticals like Internet services, digital products and home appliances and e-commerce. We are benefiting from the AI application competition as well as the rapid growth of instant retail in the fourth quarter. And at the same time, we are also seeing strong growth from education sector, automotive sector and the home and furnishing sector, they all delivered a double-digit growth. Whenever an industry goes through a boom or sees a intensified competition, it usually leads to a search and advertising budget in the short term and AI sector is no exception. But what we see different here is over long term, we also see opportunities when the industry go through reshuffling and real allocation of budgets, but they're still very long way ahead in both short term and long term in terms of the budget gains for us in the AI industry. Let's just focus on the short-term impact for the AI sector now. Well, for sure, the AI sector is bringing incremental ad budget to Bilibili. Companies in area like AI applications, large language models and AI tools are all significantly increasing their budget spending, and this is becoming a clear growth driver for advertising platforms, including Bilibili and other platform. But at the same time, Bilibili is a very natural fit for AI advertiser. This goes to our young and highly tax savvy young user base with a strong openness to embrace new AI applications, new AI knowledges and the platform itself is because it's an interest-based community centered around high-quality content. The advertising on Bilibili is more likely to translate from the spending into real user mind share. And also when it comes to the branding and performance outcome is much strong -- delivers much stronger results compared to pure traffic play. When it comes to the Q1 and to 2026 outlook, what we have witnessed is that the overall market environment is still very much about competing for the existing market shares. And the advertisers are becoming more demanding when it comes to performance and efficiency. But at the same time, what we're seeing is that advertisers are paying more attention to the quality of conversion after the delivery, not just the scale of the number of exposures, that's where availability can deliver real value for our clients. And our users are on average around 26 to 27 years. So which is the stage, both of their purchasing power and the decision-making influence is rising rapidly. So this is the exact kind of consumer bracket that all advertisers are eager to reach. As our CEO mentioned, Bilibili is our community built around high-quality video content. And as AI technology continues to evolve, the line between good content and good advertisement will blurt. That is to say, good ads can feel like a good content and good content can also function very well as effective ads. We believe this model can scale up very quickly on Bilibili. And over the past 2 to 3 years, our advertising products and algorithm capabilities has already reached a very solid mid- to high-upper level compared to the overall industry, and we still see quite significant room for further improvement going forward. As for the growth outlook for Q1 and full year of 2026, we remain confident about continuous growth and further expansion in terms of market share.
Operator: Next question comes from Alex Liu of Bank of America.
Alex Liu: [Foreign Language] I will translate myself. So the company's key game title San Mou has been operating steadily for 1.5 years. And we saw last year the self-developed game Escape from Duckov has got a lot of traction among users -- gamers last year. So can the management share some high-level strategic game business into 2026? And what will be the operational focus for San Mou and any recent colors on the -- any color on the recent growing trend for that game. And for game pipelines, can you share a little bit more about thoughts and expectations for, for example, 3 Kingdoms and Cars and Lumi Master.
Rui Chen: [Interpreted] For San Mou, our goal and strategy is very clear. We're focusing on its long life cycle of this game. And secondly, as to make this game continue to be the top among the strategy game genre. Naturally strategy game is very suitable for a long-term operation and that we have planned for this year for this game as to focus on the iteration of different game seasons and focus on the gameplay and different storylines of different seasons to make sure that our user, our gamers have brand new and interesting gaming experience when they are playing this game. At the same time, we'll organize a more structural brand and community activities around the key moments to encourage players' participation and the discussion to further strengthen the user mind share of a community sense by playing this game. And while maintaining a robust Chinese fan base, we will continue to expand this IP's influence on a global scale. In January, we already launched this game in the Hong Kong, Macau, Taiwan region and we do plan to further push this IP into Korea and Japan market and other Asian markets to further expand influence and the power of the IP. As for Escape from Duckov, we are very encouraged by the results they deliver on the PC front, and we are already on the process of converting this game on a console version. And at the same time, we're exploring more possibility of this IP on the mobile devices. And we believe this IP has the potential to become a very influential game overall in the China's gamer market. And in terms of the pipeline, NCard is designed to be a lightweight strategy competitive game. And it's very fun, it's very light. It's a 3 minutes per round type of poker game designed very well to bid into the short fragmented play session. And the game as a result of our strategy of rate inventing gains for young generation. We have created this one-of-a-kind gameplay that combines casual poker with unique card hero system. And this fits this generation's game preferences and their demand for casual, but different game experience. As a result of our beta testing, we also have discovered this game has been widely accepted and welcomed by the young generation. Because this is a very innovative game, our team has spent a lot of time in focusing on polished game to its best quality. We've already conducted 2 rounds of beta testing. We plan to conduct another round of paid beta testing in March this year, and we do plan to roll -- officially roll out this game around mid this year. Our goal is to through long-term operation, make this game as large DAU as possible. And at the same time, we'll be very patient about the process. Lumi Master is a self-development game. The game is very casual cozy style with semination game element and the PAT, nurturing and catching element of game. This is another product of our game strategy of reinventing games for the new generation of gamers. So this game combines essential gameplay of both pet nurturing and as well as simulation. It's also very one of a kind and a unique gameplay. And for this game, we were already obtained approval end of last year, and we do plan to launch our paid beta testing in the second quarter and to officially launch this game globally within this year. And as we look into 2026, there are 2 areas we'll be focusing on. One is long-term operation. As I mentioned before, this is a competition within the existing market. And the long-term operation will provide a solid foundation for our game business. Currently, we have about 70% of the game revenue comes from our long-term operating games, including San Mou, FGL and Azur Lane. And this provides a very stable income inflow for the game business. And on the other hand, we will continue to explore new projects with a genre-defining potential and we are a principal as whether to be -- either to be #1 in this genre or be the first of its kind in this genre and this will be our incremental game revenue contribution source. And this is guiding the projects such as NCard, Lumi and many other games in our pipeline. And we are quite confident about this strategy will guide us to an even brighter future. And the biggest advantage of Bilibili and game business is that we are the platform that is staying the closest to the young gamers in China. As at the same time, the company has the commitment and the gene and focusing around high-quality content. We have the consensus and have the patience. Those 2 factors combined will eventually help us to find and develop the best games that we can offer. That concludes this question.
Operator: We will now take our next question from Felix Liu of UBS.
Felix Liu: [Foreign Language] And congratulations on the strong Q4 result. My question is on AI. We noticed that we -- there is a continued development in Video Gen AI, which has made creating video content more and more easy. How do management see your opportunities and challenges from the recent developments in Video Gen AI? And what are looking ahead into 2026, what are your key investment priorities around AI?
Rui Chen: [Interpreted] The essence of AI creation tools is about improving the productivity of high-quality content compared with short-form vertical content which is already oversupply. The benefit of creating even more short content is limited. But on the contrary, where Bilibili is standing for as the long-form high-quality content, where AI is essentially helping a small number of high-quality talented content creator to create high-quality content at a much faster pace that essentially is increasing the supply of what is known for scarce of the quality content. So fundamentally benefiting our platform in terms of empowering talented content creator to create more high-quality content. And we are already starting to see early signs of how AI creation tool is helping us to improve the supply of high-quality content. AI music is a perfect example, with the help of AI music tools, even music lover without formal training can turn good their good ideas into professional quality music works and the same thing goes with categories such as auto-tune remix. In the past, it's very hard to produce a good auto-tune remix video. But now with a good sense of humor and creativity, this is helping our creators to produce high-quality content at a much faster pace. We've seen this on the video views and video watch time growth within the help of AI or content creation tools, those contents, watch time and video views is growing multiple folds year-over-year in the fourth quarter. And I'll talk about a few points that will enhance our investment on the AI, how AI is helping our community. First of all, is leveraging the large language model to enhance our ability to understand the content and user intent especially for platforms like Bilibili that offers a very long-form high-quality content. In the past, it's very difficult to truly comprehend the full meaning of that content and match it with the right users. But now we're leveraging the AI capability. We can truly understand the meaning to comprehend the high-quality content and better understand our user at the same time. This is also helping us to identify high-quality content at a much earlier stage and push it to more people. And if you look at the Q3 and Q4 user matrix, the AI comprehension of context is truly helping us to drive the user engagement, drive the user growth, that's the area we'll be focusing on. That's one. And as Carly mentioned earlier, AI is also helping us to better match the advertisement with the right user. This has been done through the content comprehension at the same time, understand our users' needs and their desire and need on the platform to better match the right advertisement with the right users. Secondly is on AIGC tools that help content creators to create content more efficiently. We have already launched a few products, but this year, we'll be upgrading that AIGC tools to really enhance the productivity of creating videos, leveraging these tools. And we believe this will be a big efficiency stepping up for our content supply and for the overall content creation process. And that AIGC tool also includes the translation function. It's not just pure soft title translation. It's a very native translation of the context of the meaning as well as lip thinking and also the creator's voice. We believe we already master the ability to translate Bilibili content into all the mainstream languages across the world. This will help our content creators to bring their high-quality content to a global stage. And based on what we have done and observed, we will be focusing on those 2 areas. One is improving the productivity of our content creator. And number 2 is improve the recommendation efficiency to better understanding our content and our users' needs. And our investment focus will be strictly aligned into those 2 areas that we believe in the longer term, generating much larger value for our overall ecosystem. That concludes this question.
Operator: Next question comes from the line of Yiwen Zhang of China Renaissance.
Yiwen Zhang: [Foreign Language] First, congrats on your whole year GAAP profitability. The question is regarding financials. We noted 4Q last year, adjusted operating margin has reached 10.1%, a step closer to our near-term guidance of 15% to 20%. So how should we think about revenue and profitability outlook in 2026? Additionally, do we have any update on the medium to long-term target?
Xin Fan: Thank you. I will take this question. Looking ahead to 2026, we remain confident in the continued growth of our community. At the same time, we will keep improving our monetization efficiency and more effectively translate this growth in high-quality user to the commercial value. Among our business, advertising is where we see the clearest growth opportunity. Our operating leverage will also continue to come through. We expect gross profit will improve slightly quarter-over-quarter in the first quarter and our adjusted operating margin should continue to improve year-over-year in Q1. We are steadily progressing to our mid- to long-term target that 40% to 45% of gross profit margin and 15% to 20% of adjusted operating margin. At the same time, in 2026, as mentioned by Chen Rui, we will modestly increase our investment in AI and reinvest partial of our incremental profit into AI applications that are closely aligned with our core business. This investment will help us further improve the supply of high-quality content, drive the user growth and enhance monetization efficiency, ultimately, we're delivering strong returns over the long term. Thank you for your question.
Juliet Yang: Operator, that concludes all the Q&A session.
Operator: Thank you. And that concludes the question-and-answer session. Thank you once again for joining Bilibili's Fourth Quarter and Fiscal Year 2025 Financial Results and Business Update Conference Call today. If you have any further questions, please contact Juliet Yang, Bilibili's Executive IR Director of Piacente Financial Communications. Contact information for IR in both China and the U.S. can be found on today's press release. Well, thank you, and have a great day. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]